Operator: Good morning, everyone, and welcome to the Docebo Q1 2024 Earnings Call. [Operator Instructions] I'd now like to turn the call over to Docebo's Vice President of Investor Relations, Mike McCarthy. Please go ahead, Mike. 
Michael McCarthy: Thank you, Brianna. Last night, after the markets closed, Docebo issued its Q1 2024 results. The press release, which included a link to management's prepared remarks and our quarterly investor slide deck, were all posted to our Investor Relations website. This morning's call will allow participants to ask questions about our results and the written commentary that management provided last evening. Before we begin this morning's Q&A, Docebo would like to remind listeners that certain information discussed may be forward-looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in the forward-looking statements. For more information on the risks, uncertainties and assumptions relating to forward-looking statements, please refer Docebo's public filings, which are available on SEDAR and EDGAR. During the call, we will reference certain non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized as measures and do not have standardized meanings under IFRS. Please see our MD&A for additional information regarding our non-IFRS financial measures, including reconciliations to the nearest IFRS measures. Please note that unless otherwise stated, all references to any financial figures are in U.S. dollars. Now I'd like to turn the call over to Docebo's Interim CEO, Alessio Artuffo; and our CFO, Sukaran Mehta. 
Operator: [Operator Instructions] Our first question today comes from Suthan Sukumar with Stifel. 
Suthan Sukumar: For my first question, I just wanted to touch on, you guys flagged the SMB weakness in the remarks. And -- but from the KPIs and results, you're clearly seeing continued strength and momentum in enterprise and green shoots in the government space. How should we be thinking about the durability of these trends that you're seeing [Technical Difficulty]. 
Sukaran Mehta: Can you hear me? 
Alessio Artuffo: Hello? 
Sukaran Mehta: Yes, I can hear you now. 
Alessio Artuffo: Okay. 
Sukaran Mehta: Okay. Sorry. Sorry, Suthan. Alessio, go ahead, please. 
Alessio Artuffo: Suthan, I would say, look, this is a quarter in which we thought that our performance -- I want to underline and really focus on it being another beat on revenue and EBITDA and underscore really our solid cash flow performance. You are correct in terms of impact from a macro. We're seeing it more elevated in the past couple of months in the SMB and mid-market segments with churn. And in general, seat optimization, we had more pressure than in the past. And we expect this to diffuse over time when you combine that with what we shared on the large customer impact that we had; however, just for clarity, a customer that we have supported for over 9 years. I would say that's kind of a little bit of the summary on the performance of the quarter. But all of this is literally by design, in the sense that our Enterprise segment and our Gov segment had a very remarkable performance. Among other things, our new logo ACV increased by almost, I think, 20%. Customers with $100,000 in ARR and above grew over 30%, I think, over 36%. Almost 50% of our ARR in quarter 1 came from Enterprise and Government segments. And then 50% of our pipeline is enterprise and external hybrid use case, which by design is what we want more for better unit economics. So we remain very, very optimistic about the trend moving forward on the basis of this. Sukaran, anything you want to add? 
Sukaran Mehta: Yes. And I think this is a good summary. I think, Suthan, in general, I would say that we -- as we look at some of the factors that we have provided in the guide, we're being cautious as we look at some of the macro pressures, especially on the SMB side, I would say. Of course, the FX on the U.S. dollar movement has an impact as we translate those revenues into U.S. dollars. And I think at a high level, what's important to understand, what Alessio alluded to is that if you read through the print, this is a solid quarter across the board from a revenue EBITDA. We've actually done incredibly well in the Enterprise segment and continue to speak to some of those numbers that Alessio talked about. At the end of the day, the company will still continue to grow, as we talked about in our guide, and we provided that annual guide, just under 20%, and at the same time, increasing our EBITDA and free cash flow. So as we think about the medium to long-term, we are now -- with the free cash flow and the EBITDA leverage that we're delivering, this also gives us enough firepower to invest in areas of growth and support our build versus buy strategy in terms of innovation. And I think the most important part even in this operating leverage and growth story is that we will continue to invest in research and development and innovation and sales and marketing throughout the year. And I think the leverage that you're seeing now come through the system is mostly from G&A. So what that really tells you is that we are focused on driving high-quality growth with best-in-class unit economics, and that's the consistent story from the past few quarters. 
Suthan Sukumar: Great, guys. My second question, I wanted to touch on the partner channel. Can you guys provide some color on the current Dayforce partnership and any changes that you may have seen in that relationship since the last update? And on the other front, I mean, it sounds like you're seeing a pretty healthy traction with new partners on both the enterprise and the government side. So I would love to hear your thoughts on some puts and takes that you see with the partner channel going forward. 
Alessio Artuffo: Yes. I'll -- Sukaran, I'll get started, feel free to chime in. Look, regarding your question regarding Dayforce, as you're aware, we're currently engaged in a legal action, and so we're unable to make any specific comments about the relationship at this time. However, I would say from our perspective, we remain focused on divesting. Our focus -- we're very focused on making sure that we have a good differentiation about our partnership in terms of revenue and distribution of those. In terms of the OEM book, in general, our execution continues. We have added 3 OEMs since last summer, which was consistent with our strategy with regards to some existing partners, [ EY ] and Darwinbox, in particular, continue to scale, and we expect them to have a healthy performance in the second half of the year. Additionally, you're correct. When we think about partnerships, we think a lot about -- beyond OEMs, we think about SIs, we think about the broader partnership ecosystem opportunities. In this regard, our SI focus is very significant. We are putting our energies in it from a perspective of [ ARR ] improvement, we want to do even more and even better because we believe it's a very, very promising area where we have a lot of leverage to gain from. In this regard, we actually staffed our team even further to grow and mature [ everything, partnerships OEM, but not only ]. We brought on board a new seasoned executive named Travis Burke, who has a long-standing great experience in the HCM space and will be leading our partnerships and corp. strategy function. And yes, we -- OEM and partnerships in general remain one of our growth and -- growth pillars and growth factors, and we plan to acquire more and continue to partner and generate more revenue with the ones that we have already. 
Sukaran Mehta: Yes. And the only thing I'll add, Suthan, to that point, quickly is on the large SIs that are ramping that are important to the -- what we delivered this quarter and in the future. We spoke about, they have continuously supported us in a number of deals in the past and government being one that we called out. But I think beyond government, we're certainly seeing that even in the commercial segment or Enterprise segment, I should say, they are ramping up significantly, 2 large SIs specifically that we work with. And I think one of the things I would call out as part of my guidance in general is that we have some healthy opportunities that are in play. But we are being cautious in terms of how the timing of these deals will play out and when they'll close, but we are a vendor of choice in a number of these deals, working with decent larger size. And that's an important part of how we attribute our -- source attributes -- a significant amount of our pipeline as we look forward to the growth of the company. 
Operator: Our next question comes from Ryan MacDonald with Needham. 
Ryan MacDonald: Maybe first to start with you, Sukaran. First of all, thanks for sort of a full year guidance. I think that helps provide us some additional context of how you see things playing out through the end of the year here. But as we think about the headwinds that you've called out across FX, SMB, and then obviously the unexpected customer churn, can you help maybe help us frame up maybe the magnitude of impact across all 3 of those in terms of where your initial annual guidance is relative to maybe where consensus was prior to that? 
Sukaran Mehta: Yes, Ryan, good question. I think if you just -- just to simplify the answer, which you'll be able to calculate, is if you look at where the consensus was versus where we've guided to the range -- high end of the range even, the differential will be basically one-third, one-third, one-third between each of these components. And so what I would speak to just in terms of the macro specifically, I want to call out in the SMB side, is that we've called out in the past the fact that this is a customer that's a first-time buyer, macro-sensitive, requires resources from an implementation perspective. And I know Alessio will speak to in a second around some of the initiatives to streamline that segment. But I think what we're certainly seeing is that, that SMB customer is more impacted in the past couple of months with some of the macro pressures that they're seeing. And we're seeing a bit more on the -- I would say not on the churn, but on the downgrade side where seat optimization is happening in that segment. And so as we look through the macro towards the later part of this year, we think we're just being cautious to make sure that we have thought through -- we have -- thought through is the wrong word, but we have enough visibility, at least for the remaining part of the year, to be cautious around that segment. And then the SI segment, as you know, 30% of our revenue comes from outside of U.S. And that certainly has an impact with the U.S. dollar strengthening. This large customer -- one thing that's worth noting is that the large customer that we supported over 9 years, we are still going to support them for one of their use cases. That's a portion that I said went to a company that had an in-house -- had a content business, in-house LMS, that all of this happened suddenly. But what happens in our world is that because the -- our numbers are relatively -- we're not at the scale, but these type of downgrades will impact us towards the latter part of this year just because of our size and scale that impacts growth in the year. So to answer your question, FX, SMB, macro pressure and then the large customer impact are -- you can basically attribute one-third, one-third, one-third impact from the differential, from the consensus to what we guided. 
Ryan MacDonald: Super helpful color there. I really appreciate it. Maybe want to just switch gears to the new pricing strategy that you talked about in the prepared remarks. And it sounds like you've got 3 new pricing tiers. Can you provide, to the extent you're able to at this point, a bit more color on sort of what those 3 tiers entail relative or compared to sort of the prior pricing strategy? And depending on how long you've been in the market with this strategy so far, any feedback on -- from customers thus far or are you able to measure sort of or quantify what the impact is on what a new land looks like under this pricing strategy relative to the prior one? 
Sukaran Mehta: Yes. So, yes, so just to kind of give some background on the pricing. The way -- historically as we price from a customer perspective, we would price historically on a, as we say, a la carte basis where there's a number of products and modules that were offered to the customer, and we've done a lot of work over the last 12 to 18 months in terms of reviewing how our customer interacted, what the market is, a lot of benchmarking, a lot of competitive intelligence, and to really understand how we can help our customers based on their needs. And specifically, the pricing is focused in the world that we call offering a core platform and then solving their problems around their specific needs, their use cases. And so what you will find here is that our pricing has now moved to more of a core platform that bundles key products and services that we know the customer requires. And it's separated between, I would call, SMB customer versus mid market and enterprise customers. And then beyond that, what we do is. beyond the core package, the customer will have now capability of adding incremental use case specific needs, whether it's e-commerce capabilities, whether it's content authoring capabilities, whether it's -- if they have an external extended enterprise, the need for having dedicated architecture, so on and so forth. And so we've created incremental packages that the customer can benefit from by acquiring that beyond the core offering. But even in the core offering, what we've been able to do is to package more product and features and capabilities. And all of this effectively will help us from our ability to how we talk to the customer, how we solve their problems and more so, we expect that this will help from a deal velocity and win rate perspective, as the conversations and how we approach the customer from a go-to-market perspective will be much more simpler relative to what it was historically in a la carte basis. And I think one thing that I will call out, as you know, Ryan, is -- I also was listening to how HubSpot had done it recently. These things take time, right? So with the new customers, you can imagine that this new pricing went out live in April, these quotes -- these are the -- any new -- net new quotes that are being created, you can expect that they'll start impacting us in Q4 of this year because that's like 3 to 6 months deal cycle for at least mid market. And then on the renewal book of business, we will be extremely sensitive. As you know, it's a longer journey. You have to make sure that each and every customer and their previous terms and previous pricing, and you make sure that you can move them into the new book of pricing, will generally take a few years as they kind of renew through the cycle. Alessio, I don't know if you want to add anything to it. 
Alessio Artuffo: Just a couple of things. I would say this pricing exercise redesign was a process that we took our time to define. I think our starting point was really to introduce pricing concepts that line up with our buyers buy and be less, if you will, company-centric, but more customer-centric, and reduce friction in the cycle. And because we are a story of segments where different buying behaviors happen across different segments, we felt that it was appropriate -- the appropriate time to introduce pricing and packaging that better reflected this go-to-market story, as opposed to an a la carte that was -- took -- created a deal slowdown as opposed to this one, we -- our anticipation is we will have better deal velocity. That's one of the goals. And the second concept, I think, as we plan on releasing more capabilities in the near future, this pricing supports that, as opposed to adding more a la carte in a manner that could cause confusion. We want to streamline the packaging of our future products as well, so that our customers better understand them and we can position them in the right segments in the right way. So, all in all, we're very happy of the job done so far, but it's a little early to make statements or analysis like Sukaran said. But over the next few months, we're going to start to see the benefits of this, and we have great conviction in our pricing exercise. 
Operator: Our next question comes from Stephanie Price with CIBC. 
Stephanie Price: Just want to focus in on the large SIs. You mentioned that they were starting to open up opportunities outside the government sector. Just hoping you can talk a little bit about what you're seeing with the SIs outside of government and how you're kind of thinking about that segment over time. 
Alessio Artuffo: Sure, Stephanie, great question. Yes. The SI motion is one that supports -- well, we started focusing on it in the beginning on the -- as a reflection of certain strategic deals that happened in corporate, and then as we started executing in the government space and certain relationship with certain size, accelerated. Now those same relationships have sort of cascaded on the corporate side. And what we're seeing is a definite support -- a better support of larger customers. We're seeing SIs very interested in working with us in implementing services on top of these customers and in general, contributing to the pipeline -- to our pipeline. I would say, over time, this is a great opportunity. At this point, I would say our efforts have started relatively in the -- over the past few months. We now have a new executive owner of this function that has many years of experience in growing large scale SI programs. I believe that we've done really well, that we can do even better. We're -- Sukaran said it before, we have some significant opportunities inside. We want to be cautious because this is a complex market which is not always predictable as to the exact month as to when these large opportunities may come to fruition. But these opportunities are in play, thanks to these SIs and our job is to continue expanding those relationships and growing the portfolio of these SIs. We currently work with a couple very closely and we have a few others that we are developing. 
Sukaran Mehta: And I think the only thing that I'd add to that, Steph, is that we -- one of the interesting dynamics also that you may have heard we've talked about in the past few quarters is, from a competitive landscape as well, we're seeing that some of these larger SIs are moving to the best-in-breed platforms like Docebo, relative to the historical or legacy platforms that we compete with. So there's also momentum from that perspective that customers are looking to the best-in-breed technology and now these larger SIs are seeing that with participating with us relative to the historical competitors that have legacy platforms. 
Stephanie Price: That's good color. And then just -- my second question, I was just hoping you could talk a little bit more about the macro headwinds that you're seeing impact customer seats and renewals. I'm a bit surprised that you weren't seeing at the enterprise level, just given what some other software companies are saying. Maybe you can talk a bit about your visibility into enterprise and what you're seeing more specifically there in terms of customer cost efficiencies, et cetera. 
Sukaran Mehta: Yes, no, it's a good question. So, Stephanie, in our world, when you think about SMB, midmarket or enterprise, what you'll find is that midmarket and enterprise segments are more hybrid, external leading. And so generally what you find there is that we have more departments to serve, more use cases to solve. So our ability to retain or expand those customers is in a much superior position relative to the SMB customer who is a first time adopter of 1.0 LMS buyer, not a strategic -- don't necessarily have strategic resources assigned to their use cases or use case in general. The SMB customer may or may not be always multiple use case opportunity for us. And so that's where the seat optimization and any of the impact you're seeing from the macro is more felt because you have, in the Enterprise segment, an ability to retain in multiple use cases or expand. And so that's kind of really the dynamic and why we've been calling out in the past year or so. Our focus to continue to move up-market and support -- you saw this quarter, Alessio spoke about at the start of the call, new logos ACV increased year-over-year by almost 20%. A good majority of that is coming from midmarket and Enterprise segment and government. Customers over $100,000 and above ARR grew 36% year-over-year, 50% of the number we delivered in the quarter came from Enterprise and Government segment. So if you look at some of those critical data points, you realize that underneath all the customer cohorts that we support, it's really the midmarket and enterprise customer that give us the best-in-class unit economics relative to the SMB customer. And we have some plays in terms of how we will support the SMB customer still without -- by optimizing some of our operating structure. But generally that's how we think about the strategy going forward. 
Operator: Our next question comes from Josh Baer with Morgan Stanley. 
Josh Baer: A couple of follow-ups on some of the headwinds for this year. Just wondering if there's any theme or pattern to some of the optimizations that you're seeing in SMB and lower midmarket, whether it's departments or across use cases, is it internal, external? 
Alessio Artuffo: Yes, I think it's a little bit of a continuation of what Sukaran was addressing before, Josh. What we're seeing is smaller organizations where learning was not more integrated in a more complex ecosystem and where learning wasn't strategic. They may reduce seats or altogether leave it for different ways of delivering content. I would say our focus has always been working with organizations that use Docebo for what it's great for, and Docebo, our positioning in the market more and more we want to -- our right to win is with organizations that execute in a multi-use case strategy. We have a great penetration with customers that use Docebo for at least 2, 3, and 4 use cases. That's where best unit economics are. And I would say organizations, especially sub-1,000 employees, that have a point in need and smaller use case, are the ones where we have seen the biggest patterns. Sukaran, I don't know if there's anything else you would add. 
Sukaran Mehta: No, I think, Josh, the only thing I'll add is to your question on the use case specifically, I think the majority of -- a significant amount of the pressure that we're seeing on the seat is on the internal use case market. And so that's kind of relative to also where folks are optimizing their headcounts in their companies, et cetera. 
Josh Baer: Okay, great. And second question, just on the strong free cash flow, the margin there, 18%. Anything one-time in the quarter? Should we expect free cash flow margin to track ahead of EBITDA margin for the rest of the year? How should we think about that sustainability of that free cash flow margin? 
Sukaran Mehta: Yes. So if you look at the EBITDA guide that we gave, you get high end of the range, 15.5%. Generally, I would say free cash flow on a -- if you look at on trailing 12-months basis, would be 1% or 2% higher relative to our EBITDA. That's kind of the rule of thumb in our world. And to your question, if there's any specific items in Q1, not necessarily, there are just always payments with some customers in the billing cycles, with annual cycles, that we would have collected some cash. But even on a trailing 12-month basis, Josh, you're safe to presume that our free cash flow will be 1% to 2% higher than what we guided for EBITDA. 
Operator: Our next question comes from Robert Young with Canaccord Genuity. 
Robert Young: Some of your past comments have suggested you want to operate the business at a Rule of 40 or better kind of with an emphasis on growth. And so this annual guide for '24 suggests that the emphasis is more on EBITDA margins. And so I was curious if you could maybe revisit that target. And then if you could also talk about your aspiration for annual growth over time. Some of the things you're calling out here, driving this change seem to be, depending on your view, could be temporary in nature. And so if you're looking out over a 3-year horizon, are you still looking at building this business for like a 20% or higher growth profile? Or maybe you can just talk about your aspirations long-term. 
Sukaran Mehta: Yes. Rob, I'll start with your specific question on the margin, and then I'll get Alessio to speak about the long-term strategy. Firstly -- first and foremost, the operating leverage that you're seeing in our -- that we delivered this quarter, and we'll continue to deliver as part of my guidance, is that we are focused on driving growth as the primary objective of our strategy and high-quality growth with best-in-class unit economics being underscored in that statement. If you look at the delivery of the operating levers we've done over the past few quarters, I'd say this, it's G&A is the gift that keeps giving and will continue to. We will continue to show operating discipline in our G&A functions, which is where you're seeing the majority of this leverage come from. We will continue to invest in sales and marketing and R&D at levels -- you can expect sales and marketing will be relatively flat to what we have right now around 32%, give or take. And we will continue to invest in R&D and innovation, which was close to, I think, 20% as a percentage of revenue this quarter, be slightly lower than that. But what I'm trying to get to is that we are not going to compromise investments in sales and marketing and R&D and growth remains our primary objective. And as you think about the growth of the business still at what we delivered this quarter at 23%, the natural operating leverage from G&A will get us to a position where this company, as we look through '24, '25 cycle, is more of a balanced Rule of 40, where EBITDA, free cash flow naturally is getting to -- closer and closer to the 20% mark. And I'll let Alessio come in on the growth side, but like I said, we are focused on driving a Rule of 40 with balanced growth and balanced EBITDA. 
Alessio Artuffo: Look, Robert, great question and thanks, Sukaran. I think, we -- our thesis, as Sukaran said, of remaining extremely focused on growth doesn't change. The investments in sales and marketing, the investments on product are the reflection of that thesis. Now altogether, there's a tremendous opportunity because in tougher market times, it gives you an opportunity to create improvements even further to the execution. And we're very focused on that. We're turning our attention more and more and more on our existing accounts. From a pipeline standpoint, we love what we're seeing in terms of our ability to generate pipeline within our base. We've been focusing on that a lot because it generates really healthy pipeline relative to CAC. Our long-term plans, as I was mentioning, are supported by investments in products. And in 2024 alone, in H2, we're going to be releasing multiple modules that we are modeling, contributing to our growth in the future. Communities are offering our insights capabilities. So our thesis of growth is unchanged. We're very focused on executing across the board on the growth pipeline side of the business and on the product side of the business and on improving our internal functions in order to really get the best out of every single unit economic. 
Robert Young: Okay, that's very helpful. Maybe if I could just dig into a little bit on your answer, Alessio, then what are the elements that we might think of as excluded from the current guidance, like the multiple modules, the product release, the pricing changes, large deals, FedRAMP? I mean, it might be helpful if you could call out some of the things that might be upside to the guidance you're giving here, that you're not concerned because maybe they're too hard to understand or too hard to time, and then I'll pass the line. 
Sukaran Mehta: Sure. Yes, Rob, I'll take that one. I think the way to think about our guide is, I've said this in the past, we generally -- as we're building a healthy pipeline with these large SIs, there are a number of deals that are large where we are in a good position. But as we've always said, on large deals, we generally tend to stay cautious in putting that in our overall thought of growth because we want to see execution and get very close to finish line. And as you know, large enterprises take time and it's a matter -- it's not easy to pinpoint which exact month they'll close on sometimes. And so that's one factor. I would say that 2024 specifically, also, the pricing changes are not going to materially impact 2024. They are more geared towards 2025 as you think about new pricing that came into play. Generally at 3 to 6-month sales cycle on net new deals that are coming through from April onwards will mean that you're not going to see the benefit of it necessarily until late '24, early '25. And I think the other one item that I will say that on the government side, similarly on any large opportunities, or the opportunities we'll have, subject to our FedRAMP certification, are also more of a 2025. There may be some benefit in '24, but we're generally cautious in calling out large deals until we feel very certain on the timing of their closure. And that's really basically, I would say, as some of the upside that may be there. But I think more importantly, I think we're looking to more of a 12 to 18-month cycle from just reaccelerating some of the initiatives that may help from a growth perspective, including the product initiatives that Alessio talked about, that we have a number of products that are going to start rolling out in Q3, Q4, and you can expect that that's more of a benefit into '25 cycle. 
Operator: Our next question comes from Richard Tse with National bank. 
Richard Tse: It seems like the business is being sort of deemphasized a little bit on SMB, whether it's natural or intentional. So how should we think about the mix of SMB to enterprise on ARR as we sort of look forward over the next, call it, 12 to 24 months? 
Alessio Artuffo: Well, Richard, our focus for quite a while has been on mid-enterprises and enterprises, meaning midmarket organizations above 1,000 employees. For sure, the environment, and what we're communicating is that we're seeing more pressure in the SMB segment, which coincides also with an area of less focus for us. From an ARR standpoint, I think what you can expect is that the company will continue to perform better on the enterprise side of the house and with deals above $100,000, continue to track along. We have, in this quarter -- I mean, In this quarter, I think we -- again, as we said, almost 50% of our ARR in the quarter came from our enterprise and government segments. And customers with $100,000 and above in ARR, they grew 36% year-over-year. So our goal is to continue on those trends and we are running the business in that direction. 
Richard Tse: Okay. And then with respect to government, you're already having a tremendous amount of momentum there in that business and it sort of continues on what you talked about at your conference last year. So when you do get that FedRAMP certification, should we expect a sort of further acceleration or is that just momentum kind of following along the path, kind of under the assumption that you're going to get that fairly soon? 
Alessio Artuffo: Yes, look, our gov business is exciting and very promising. It's not just very promising, it's already been delivering significantly in quarter 1. And just as a reminder, it's a relatively new initiative for Docebo. We haven't been doing the government business or focus for years. With that said, we look at the government opportunity, as we have commented in the past, in 2 tranches, as you correctly outlined. One that we're executing on right now, the state, local education or SLED, and the federal, which we currently are not in deals yet because of FedRAMP certification, which we're pursuing and talking to agencies about. It's hard for us to model something before obtaining the certification. We can certainly expect that once we will have the certification and we will start to see a trend of winning deals, an acceleration is conceivable, but we can't forecast something that we don't have yet. With that in mind, and the reason why we're working very hard in that direction is that because we have big objectives in that area. But in the meantime, I want to underscore how the size of deals in SLED is also growing significantly. And now working with partners and distributors like Carahsoft is paying significant dividends in a relatively short time frame. 
Sukaran Mehta: And the only thing, Richard, I'll add to that is, we've historically spoken about this segment. We were deliberate as well in regards to when we talked about it in late '22, early '23, our investments in government. This is a segment or vertical, I will call it, that has more resiliency in different macro environments and generally tends to do well more consistently. So we are also mindful that as we looked at our strategy in '23, relative to some of the macro pressures, we talked about SMB, our government segment is important to us even in the future because it provides us healthy growth opportunities and consistent revenue for long period and high-quality revenue. 
Operator: Our next question comes from Daniel Chan with TD Cowen. 
Daniel Chan: Just digging in on that FedRAMP, what's left to do to get that FedRAMP certification and any update on the time line there? 
Alessio Artuffo: So there's a -- it's certainly a very complex project in itself. We have done a lot of work internally on the controls side of the house. We have committed resources to doing this. Then in terms of the material steps, we're talking to sponsors, achieving FedRAMP through a sponsor, it's our preferred pathway. There are pathways that also are available without sponsors that are slightly harder. But in short, in summary, our plan is on track. It's subject to more audit-type work and identifying the agency which will invest the resources with us to effectively put this through and act as a sponsor. So we're full on it and pretty excited about the progress so far. 
Daniel Chan: Sukaran, you talked about the free cash flow margin moving up nicely. You also renewed the NCIB. So just wondering what your priorities are for capital deployment. 
Sukaran Mehta: Yes, I mean, Alessio, feel free to jump in. I'll just say that we are showing reasonably good EBITDA and free cash flow performance and consistent performance, as I spoke earlier. If you look at the EBITDA guide is at the high end of the range, 15.5% for full year, which obviously means that exiting Q4 2024, EBITDA will be higher and probably getting closer and closer to the 20% mark, which also is -- why I'm speaking to that is, also guides you through the fact that our free cash flow generally is 1% or 2% higher than that. The good -- what I like about our setup is that we are generating significant amount of free cash flow to give us the ability to invest in areas which I'd like, Alessio, to speak on, but in areas that will -- whether we want to invest in FedRAMP, internal innovation, or build versus buy opportunities, generally, we'll take priority in our strategy going forward. But having an NCIB, this is a renewal of our NCIB that was already in play. It's more relative to we want to have that flexibility if we deem necessary. But generally, I would say that investments in growth initiatives, organic and inorganic, is more strategically important to us. Alessio, I don't know if you want to comment on that. 
Alessio Artuffo: No. Pretty good. Thank you. 
Operator: Our next question comes from Kevin Kumar with Goldman Sachs. 
Kevin Kumar: I wanted to ask about the enterprise customer that divested. Were they using Docebo for multiple use cases in terms of external and internal? And I think you touched on this a bit, just for clarification, how are they replacing that loss functionality? 
Alessio Artuffo: Yes. Kevin, the customer that downgraded was a customer that we have onboarded about 9 years ago that are the complex set of use cases, both internal and external. Now, this organization divested a significant part of the company. And the acquirer of that technology that was primarily in the content business also was the owner of a proprietary light delivery technology. And so what the new entity decided to do was to pretty simply leverage their own existing technology instead of Docebo for those specific use cases. And the part that did not get acquired, that did not get divested continue with Docebo. Now, I think I would like to underscore a couple of things of this experience. Number 1, I think a customer of this magnitude and complexity demonstrates that we kept them very happy and satisfied for almost 10 years. And to me that's a testament to our capabilities to execute with complexity and [ extended ] enterprise and internal hybrid. Secondly, and quite importantly, we learned a lot. We were able to extract a lot of value out of the experience with this customer. And we've really leveraged this experience across multiple current customers. So, look -- and we wish that they stayed with us for the next 10 years again? Absolutely. But we understand there's a 9-year lifetime value is not bad. And we certainly understand a customer that gets acquired by somebody that has its own technology, that wants to use their own technology. Now, who knows, maybe they will realize that their technology is not as good as ours and maybe they'll come back. We'll try every possible angle, but those are the facts. 
Sukaran Mehta: And I think, Kevin, the only thing I'll add here is that this customer still remains a customer outside of the divested portion, and is still a meaningful customer to us. And we will continue to work in expanding our capabilities with them. So the portion that remains with them is still material. And we're very thankful for this customer for over the years, how they've supported us. 
Kevin Kumar: Understood. That's helpful. And then I wanted to ask about maybe an update on the cross-selling motion and how that's trending. Shape continues to see some functionality improvements. So curious kind of how the messaging on that solution is resonating with customers as well. 
Alessio Artuffo: Yes. So let's say, I would address the question in 2 different ways. From the perspective of our engine of growing our customer base in terms of pipeline, we're extremely focused on it. I mentioned that before. What we have done specifically in that area is we have increased our investments in the, so called, account development area. We have dedicated more resources into prospective -- prospecting in the base with the goal of generating more upsell and cross-sell pipeline. Of course, in order to generate more upsell and cross-sell pipeline, you need to address needs that are uncovered. And we are leveraging existing new products, newer modules, and as we release new ones over the next few months, we're building the engine to support the penetration of those new products, such as communities. You mentioned Shape, we're extremely focused on the authoring component of Shape and the AI authoring component of it. Very important to us and to our customers. We get a lot of demand for it, and Insights, our analytics product upcoming. And one thing that we haven't quite touched on is the concept of extensions that we're working on in order to differentiate Docebo even more from the LMS point solutions. So our work on strengthening our [ in-the-base ] BD engine is not only to obtain results immediately, but also [ propagate it ] to the launch of the new products. 
Operator: Our next question comes from Christian Sgro with Eight Capital. 
Christian Sgro: I wanted to ask on the mix of business across new logo activity versus expansion activity, you're selling more across existing clients. Would you say in Q1, maybe some more expansion activity than normal in this environment? And I don't know how you think of your pipeline, but could you comment on how that's balanced again between new logos and some predictable upsell and cross-sell? 
Sukaran Mehta: Yes. Yes, Christian, I'll start with that. So, yes, generally I would say that our expansion business and new business is -- from a segmentation perspective, it's focused similarly in terms of midmarket and enterprise customers. Right? So we -- as I spoke earlier, if you think about midmarket large enterprise customers, generally supporting customers with 2, 3, 4 or more use cases is only really possible at the midmarket enterprise customers which have at least 1,000 or more employees in their organization. If it's -- I think that's a benchmark, just from an internal use case perspective, but also that's the size of the companies that reflects the ability to support them, whether it's customer education, partner education, onboarding, compliance, but then revenue enablement, sales enablement. So for us, to serve these multiple departments, where Docebo is the one platform that solves multiple departments' problems without each of these departments interacting with them on a daily basis, that, realistically, is why we continue to articulate our focus on midmarket and large enterprise, because that is really where you can do that. So I would say that, to your question around segments, even on expansion, it's exactly the same story. Right? If you think about cross-sell or upsell opportunities from a use case basis perspective, those are the type of customers where we can focus and do that. And it makes us much, much more stickier, as you can imagine, in those segments. And as we look forward as well, the other area that we look at cross-sell is where we have entities where instead of departments, they have multiple -- AWS [ Lease ] to Amazon Logistics. It's kind of the examples we look at to win from unrelated subsidiaries or departments that are not just supporting HR or sales, but we're also trying to win customers across the multitude of their portfolio. So we go about that in multiple ways. But I would say that generally it is a midmarket to large enterprise play where we can expand both on the current base or new base on the onset with multiple use cases. 
Christian Sgro: Okay, great. And then for my second question, the services revenue, I think, tracked a little bit higher than your own expectations in the quarter. Wondering if there's anything you'd call out there and any change to the longer term subscription services mix that you guys are targeting. 
Sukaran Mehta: Yeah, I'll take that as well. So basically, the way to think about services in Q1 is it's a bit of a reflection on Q4. So we had a strong Q4 quarter. So as you look to implement those customers in the first quarter of 2024, you'll see a higher revenue. The reason it's also higher to our expectations is that what we're also seeing with our customers as part of our value-added services and white glove services, our customers are looking for us to support them beyond just the onboarding. We're helping them in a number of ways around whether it's just doing -- not customizing anything, but customizing the needs of their use case and helping them in that journey. And so we're more hands on deck is what happened as well in Q1. And I think that is kind of what Alessio spoke about around some of the extensions and being the one place where customers feel like we can support them for the end to end journey. And so on the large customers, we certainly saw that as well play out in Q1. But at a high level, services from Q4 -- Q4 ARR implementation has a higher impact to services in Q1, some additional services that we're providing to large enterprise customers. And as you think about Q2, I would say it's probably going to be in line or slightly higher than prior year. 
Operator: Your next question comes from Kevin Krishnaratne with Scotiabank. 
Kevin Krishnaratne: Just 1 from me. When I look historically through '21 and into early '22, there were a lot of logo adds added then. I know you've got 3-year contracts, so I think these are the ones that are probably coming up for renewal now. Can you confirm that? Were a lot of those logo adds SMB back then? How to think about that? And just confirm too that the sort of seat optimizations that you're seeing, you're calling out SMB, that you're not necessarily seeing that in enterprise. I just want to get an understanding of your visibility on some of the renewals from that strength and logo adds from about 3 years ago. 
Sukaran Mehta: Yes, Kevin, I'll take that. So the way to think about it in terms of the segment differential is that in the midmarket to enterprise segments where we're supporting multiple use cases, if it's primarily supporting an internal use case and the company is going through headcount optimizations themselves, we may see impact there. But there, we do continuously work, as we spoke about in the previous question, in our ability to expand in multiple departments. And so if I'm in multiple departments, especially external use case departments, we tend to do much better in terms of expansion retention. And then if it's just purely internal use case, and that tends to compound a bit more in the SMB segment, is that if it's internal use case, then the customer and the SMB segment specifically is budget-sensitive, is it strategic or not for their business plays out a bit more. And that's where we're seeing more of a -- more seat optimization, where we also don't necessarily have the opportunity to go out and win or expand into different departments just because of the size of those customers and the complexity of those customers. And so that's kind of how we kind of work through the cohorts of our customers. I would say that the comment around the multi-year and how many SMB customers we had in 2020, '21 era, I would say roughly 25% to 30% of our book of business still is SMB. So as we move through the cycles in the next few years, I would say that you can expect that, that continues to -- as the enterprise book moves up, that will start -- continue to move as a percentage lower. And I think we are also doing certain things in that regards in terms of our offering with the new pricing. We've had very nuanced, targeted pricing towards that type of customer and the support we give them to simplify and also improve our operating leverage in terms of how much we want to spend to support that customer. 
Kevin Krishnaratne: Just a real quick one. I know your ARR in the quarter was 22% company-wide, but any way to think about what enterprise ARR growth looks like? 
Sukaran Mehta: Let me -- yes, I don't have it at the top of my head, but I would just say one number is that 50% of the number that came from this quarter was from enterprise and gov. 
Operator: This will conclude the question and answer session on today's call. I will now turn it back over to Alessio and Sukaran for any closing remarks. 
Alessio Artuffo: Well, thanks, everyone. Thanks for attending. Thanks for your very good questions. We are super excited going into the next quarter about our continued execution. We believe we have an amazing business and we are very focused on our long-term success. Thanks again, and see you next quarter. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.